Company Representatives: Omri Brill - Chief Executive Officer Yatir Sadot - Chief Financial Officer Barak Frank - Corporate Secretary
Operator: Good morning everyone and welcome to our Investor Update Conference Call. All callers are in listen-only mode. On the call this morning, the company CEO, Omri Brill will provide an update on the company's operations and strategy, followed by a financial review by Adcore's CFO, Yatir Sadot, of the company's Q3, 2021 financial statements, after which we will answer pre-sent questions and take questions from participants. I would like to take a moment to remind participants of the Safe Harbor Statement. This conference call contains certain forward-looking statements, including statements about the company. Wherever possible words such as may, will, should, could, expect, plan, intend, anticipate, variations of these words or similar words or phrases, have been used to identify these forward-looking statements. These statements reflect management's current beliefs and are based on information currently available to management as of the date hereof. Forward-looking statements involve significant risk, uncertainties and assumptions. Many factors could cause the actual results, performance or achievements to differ materially from the results discussed or implied in the forward-looking statements. These factors should be considered carefully, and listeners should not place undue reliance on the forward-looking statements.  Although the forward-looking statements contained in this call and financial results press release are based upon what management believes to be reasonable assumptions, the company cannot assure listeners that actual results will be consistent with these forward-looking statements. These forward-looking statements are made as of the date of this call, and the company assumes no obligation to update or revise them to reflect new events or circumstances, except as required by law. With that, I will now turn the call over to Omri Brill, Adcore's CEO, to update you on the operations and strategy of the business. Omri?
Omri Brill: So again, good morning everyone and thank you so much to join us today, this early time of the day for our Q3 earnings call. So I would like to start with some highlights regarding quarter and the financial results obviously. Yatir are going to be, touch it in more detail.  So actually Q3 was a very strong quarter for the company. The fourth quarter in a row that the company's growing triple digit numbers, and we obviously are very happy about it. So, if you look at the graph on the right side, we can see the Q4, 2020 the company managed to go above 12% or 20%. Almost Q1, 2021 was 161% growth, Q2, ’21 250% growth and this quarter Q3, ’21 153% growth. Again, all four quarters in a row the company has been growing their total digit, which is quite an accomplishment. And if you look at the trailing 12 months of this year, then we can see that the total revenue, accumulative is almost CAD$40 million.  Just bear in mind that 2019 was around CAD$50 million, so this almost 3x more than we did in 2018 and 2022 which was even stronger, in fact it was CAD$23 million Canadian. So now the trailing 12 months is almost 2x what we did in the entire year of 2020 by itself. So again, very strong results for Q3 and very strong results in a row for the last four quarters.  And actually due to this result, that puts Adcore as one of the fastest growing company in months comparable, and again if you are going to look at the right, the graph on the right side we can see that in the last 12 months Adcore grew almost 190% over the year and if you look at the comparable companies overseas one of them are assay company and master company. Their names as you all know it for views like the Trade Desk, the QTS, basically the average growth of these comparables are around 46%. This means that Adcore in the past 12 months were growing four times faster than the comparable company and this again, a very strong achievement for the company.  So what happened in the last quarter and what the company besides financial was been able to achieve? So, I think the biggest milestone in the company announced in Q3, 2021 was actually the official launch of the Adcore Marketing Cloud. The Adcore Marketing Cloud is basically a uniform place or a unified platform where we put all the four apps of Adcore under one roof. That basically allows users to access them using the, let’s say the Marketing Cloud access. Obviously the cloud is also setting up the foundation to emerge much to a larger vision with regards to the company’s technology offering. Moving forward that basically will allow us to scale our technology offering into 2022 and beyond.  So another achievement in Q3 was the establishment of the U.S. subsidiary. So that subsidiary joining now, by far the subsidiary actually speaks out that if you include the balance three subsidiaries in the company. They already have, and basically the establishment of the U.S. subsidiary is part of the company’s longer plan or bigger plan to put more effort and focus on the U.S. market. Basically so this subsidiary is setting up the foundation and building us the right structure, such as for us to move to a larger operating in this type of market in 2022.  So with regard to client acquisition and in-store growth, so obviously a lot of this, the growth that we say in Q3, 2021 was coming from in-store where some existing clients have continued to work with us and they basically spend more online. But it was also a mix, because there was a lot of client acquisition. Some of the numbers we already disclosed in the P&L, basically CAD$4 million in aggregated sum that we anticipate to come up from this contract in April, but this is because of less activity in Q3. And then not only that, in Q3 we expanded the team with 10 new employees that was the largest, let’s say jump in the number of employees in the company since its history.  So in a sense, Adcore is growing now in ranges we never grew before, and in order to accumulate this growth and basically being able to cooperate with everything, then obviously we need to grow the team as well. So we grow in the same top line, we grow in the same client acquisition, and also grow in man power which is important. If you remember, we discussed it before in the beginning of the year. Growing in man power was a channel for us and I think that we are in a much better position right now. And the fastest that we can gown in talent, this means that basically the company is testing again, the right foundation and the right structure in order to support not only the existing growth, but equally important the future growth of the company.  So, you know that we discussed Amphy a bit in the last earnings call and even before, but this time for this quarter we want to give you a bit more in-depth statistic regarding what Amphy did in the last quarter. So for those of you who don’t know Amphy is the market place or platform that Adcore built for live online learning. Basically today this maybe the most diverse, the most large marketplace, so it’s kind of out there. And just to give you some statistic about how Amphy did in the last quarter, the total classes in Q3 ‘21 was a bit more than 1,000 classes. Just so you understand, now we are more than 1,200 classes.  So between the quarter and till now, we already grew around more than 150 classes already and if you look at the quarter-over-quarter growth, the number of classes, it was almost 50% and six months growth between Q3 compared to Q1, it was almost 150%. And if you look at visitors in Q3, we had almost 1,000 visitors to the site and again quarter-over-quarter growth was almost 40% and 500% if you look in the six months growth.  Total sign-ups, which means the students that have signed up to the platform, the number accounts to almost 4,500, 90% quarter-over-quarter growth and almost 900% or more than 900% growth in six months. Transaction, that’s the number of the classes, base classes that have been taken with the platform. Total number was a bit over 3,500 and again in Q3, 77% quarter-over-quarter growth and 450% almost a percent growth quarter-over-quarter.  Just to give you some beckon and highlight one of the most successful things that we do now with Amphy according to Amphy Master Service, that’s where we put celebrities and people with [Inaudible] which basically give classes on Amphy. And one of the most successful one was actually Nancy, which was a British U.K. Bake-Off Winner, and in one classes that she gave, there was 155 paid participants. So this gives you let say, the vision of let’s say how big Amphy can be, and again this is just the very early beginning of the platform.  So this time there is no reason that we are going to – we’re not going to have classes on Amphy with more than 1,000 participant events. But again, the fact that we already have classes with more than 150 participants in a single class, this proves that basically the concept is there, it’s working and then we are doing or we are moving in the right direction.  FYI, the average transaction value on the platform to-date is almost $20 and that remains stable throughout I’d say the last quarter. So the average ticket per class is around $20. Obviously the price per class can vary a lot. So it can be as low as free and as expenses as more than $100, but the average class is around $20 in terms of take progression within Amphy during the quarter.  So we are now the social commerce component on Amphy, which means that every student that’s going to join Amphy and going to take a class if you are going to bring a friend with him, basically they can get a discount and actually today because it’s a 11/11 a single day, we have a special promotion just for this type of let’s say ‘social formats,’ which would give 50% which is a massive discount. But basically the capability of the size that Amphy can support social formats, it’s a very strong marketing offering and a very strong deficient copy of the other, let’s say competitor.  And another thing which we did during the quarter is we built let’s say the back engine of the AI implementation tool. So this time we are now collecting that data in order basically to the algorithm to start given recommendation in what is going to be ready in terms of the week’s [ph] side as well. We can start offering recommendation for classes for users, similar for what is happening in Netflix is to doing when we are watch a Netflix special.  So the last that have been achieved I would say in the last quarter and not only financial wise. I think like equally important the operational wide and establishment you know like of the Adcore Marketing Cloud, a huge progress in last year, where the U.S. subsidiary and basically this put their company in a much better position for Q4 and equally important in 2022 and beyond.  But I think investor always like too our system. You know okay, we’ve shown the quarter is good, but what is next. What should we expect from Adcore moving forward? What is the company’s long term vision and I would emphasis the following. First and foremost I would say the Adcore Marketing Cloud and basically the message that you should look when we move forward is a addition of new apps to the Marketing Could. I mean the more the merrier obviously, then this could be a mix between assets we developed ourselves in our whole third-party apps that we can add as well, and obviously that’s going to give the scale and value adding that we need for the marketing cloud.  Another thing that the investor should look is when we are going to officially announce the Zero touch onboarding funnel. This means that the user or customer can onboard the Marketing Cloud without the help of assistance of any of account manager or success manager, and again that’s going to give us the scale foundation that we need.  And equally important is the Marketing Cloud that [inaudible] grow. We are going to show improvement in the company growth margin again, so this is not going to be on the expense of the direct client activity, which obviously grew massively now in the last two questions. But again the Marketing Could now setting the right foundation to gown, mostly the indirect client activity which come with much higher growth margin as well. So I think like Marketing Could is a huge let’s say promise and basically we will allow the company to scale massively in 2023 and beyond.  I think M&A is another focus that the company is using more and more emphasize now, and again this is something that investors should look for. We have two types of potential M&A’s if you’re looking to do. The first one I would say is Geo focused, so we are looking for potential companies to acquire in the U.S., to establish or help us establish the operating in the U.S. move fast. I would say that it’s one type of potential M&A that we are looking to do, and another type of M&A that we are looking to do is more Tech, tech focused again, expanding the offering of the Adcore Marketing Cloud and basically building a better value offering to our customer.  With regard to Amphy, I would say what investors should expect is the following: (A) in the upgraded version of Amphy website, just starting which hopefully going to be lot in Q1 2022, a robust vision regarding how to expand the Amphy universe, so this is something which we are going to announce once we are going to be ready, but basically it’s going to take what everything you know about Amphy, and multiply it by I would say five at least, so this maybe the last message to anticipate over there. And obviously now current the revenue of let’s say, contribution of the Amphy products, you know like to the overall top line of the company is not, I would say not meaningful. But we have then in 2022, it’s going to become a bit more meaningful. Still Amphy has a way to grow, but again if 2021 was let’s say – I would say, the focus was at the revenues 2022, we expect to see a bit more robust revenue coming from the Amphy products as well.  So I think that’s it from my end, and I’m looking forward to really what Yatir has to say regarding the company’s financials in more detail. 
Yatir Sadot: Thank you, Omri, and good morning everyone. Before beginning the financial overview, I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP results. All amounts will be presented in Canadian dollars. As you have seen in our results, Q3 was a very strong quarter for Adcore. Revenue of $10.4 million was up 163% compared to last year. During the quarter we benefited from the continued massive shift through e-commerce in the digital adverting ecosystem.  We saw continued strength from our direct revenue steam across all regions, channels and verticals. With the continued strong top line performance throughout 2021, during the last nine months we generated CAD$2.7 million compared to CAD$2.2 million for the same period in 2020, an increase of 23% in adjusted EBITDA.  From a balance sheet perspective, we exited Q3 with a strong cash and liquidity position. As you can see, total working capital of CAD$13.1 compared to CAD$7.8 million at December 31, 2020, an increase of CAD$5.4 million or 69%. We started the year with CAD$11.7 million of cash and cash equivalence and as of September 30, 2021 we are CAD$15.5 million. The increase is mainly attributable to the ongoing business results and the capital raise the company completed in the second quarter this year.  Total assets of CAD$22.2 million compared to CAD$17 million in 2020, an increase of 30%. Significant low debt, the company’s fully repaid its COVID loans from the government during the second quarter this year, and as of September 30 the company doesn’t hold any financial debt on the balance sheet.  Now let’s discuss comparative income. For the last three months ended at September 30, 2021 we delivered a record third quarter revenue of CAD$10.4 million compared to CAD$4.1 million in the same period of 2020, an increase of CAD$6.3 million or 153%. This was mainly driven by growth in our direct channel, particularly one growth in APAC region, but not only.  Third quarter gross margin saw a decrease to 23% on a gross margin of 60% in Q3, 2020. The decrease in gross margin was attributable to the large increase in direct client activity, which have lower profit margins compared to in the clients.  Moving to OpEx items, research and development expenses for the quarter were CAD$346,000 or 3% of revenue compared to CAD$334,000 or 4% of revenues in the prior year. Sales and marketing expenses and general administrative expenses for the quarter were CAD$2 million or 19% [ph] of revenues compared to CAD$1.4 million or 35% of revenues in 2020. The increase was attributable mainly to the expenses related to the capital raise in the second quarter, the listing on the TSX and the commencement of trading on the OTCQX in the U.S.  Our operating profit for the quarter was CAD$27,000 compared to CAD$717,000 in the prior year. The decrease in operational profit was mainly attributable to the development of Amphy, the largest market place for live recreational learning, which I’ll discuss in more detail shortly.  During the quarter we reported a net loss of CAD$323,000 compared to profit of CAD$543,000. The loss was mainly attributed to the finance expenses from the loan reevaluation and Amphy development. From a segment perspective, during the second quarter this year the company started to report and measure Amphy as a separated line of business. Amphy's revenues in the third quarter amounted to CAD$4,000 compared to zero in the previous year. Total transaction value in the three months ended September 30, 2021 was CAD$20,000 compared to zero in previous years.  Amphy's total expenses in the third quarter were CAD$425,000. After excluding Amphy's expenses, the operating profit of the asset activity was CAD$453,000 in the three months ended September 30 and CAD$1.2 million for the nine months ended September 30, 2021. Our quarterly non-GAAP results reflect adjustments for the following items. Depreciation and amortization totaled CAD$217,000. Share based payments totaled CAD$318,000, offer and listing in global expansion totaled CAD$12,000 and other non-recurring items totaled CAD$11,000. Adjusted EBITDA for the three months was CAD$585,000 compared to CAD$925,000 for the same period in 2020.  When we exclude Amphy’s expenses from the Adcore adjusted EBITDA was CAD$1 million compared to CAD$925,000 for the same period in 2020, an increase of 9.3% and CAD$3.6 million compared to CAD$2.2 million when comparing the last nine months to the previous year, an increase of 64% in adjusted EBITDA excluding Amphy’s activity.  With that, I will turn the call back to Omri for Q&A session. 
Omri Brill: Thank you, Yatir. Now that we’ve concluded that part of the discussion, we’ll move on to Q&A session. We’ll start with some questions that were sent ahead of time.
Q - Barak Fran: So Omri, this is a question from Dan. Are you pushing ad for Marketing Cloud as a self-service platform. Can you give us some color regarding how you expect this combined platform to impact gross margin going forward? 
Omri Brill: So, excellent question. I would answer the following: (A) for sure. As Adcore Marketing Cloud is a view sort of offering, like the current technology offering of the company would change now. Basically its unified, so we put all the four up that we, I would say separate application of the one unified class platform.  Basically its more accessible, it’s more scalable and it sets the right foundations for a much rapid growth in 2022 and beyond. It’s basically as everybody understands, technology operating income with much better growth margin and this will have a positive effect on the company growth margin moving forward, especially 2022 and beyond. 
Barak Fran: Have you seen any traction with some of your promotional activities on Amphy? Just curious as private consumers, especially budgets are relatively slim. Are there incentives to make learners keep coming back to the platform? 
Omri Brill: So, that’s an interesting question. I would state the following: Obviously we are constantly doing a running promotion of the Amphy website. Some of the promotion are more geared toward new client acquisition. Some of the promotions geared into retention for example, and some promotion are hybrid effort in the sense.  One of the things that we saw that’s working for us really well is basically when we give a special gift card or promotion like coupon codes to Amphy. Just as an example, in the last Halloween we did like a big promotion that was run for one week and basically everybody that visited Amphy website had a question or in the profile dialog to say whether you want a trick or treat and obviously if you selected treat you got a $25 coupon code to use on the Amphy website and that boosted the activity level of the website.  We saw lots of place – lots of activity going on. We had some sponsors between the teacher for special Halloween classes and let’s say another one winner is more than 80 students’ participated classes for just Halloween. So this was special classes made just for Halloween, but that’s just an example.  So we are promotion running all the time. Now as of today we have 11/11 single’s day promotion and basically we continue doing a running promotion there in the Amphy platform. 
Barak Frank : Moving on to a couple of questions from Peter Lamberty [ph]. What is your long term target for the revenue percentage received from direct and indirect customers? 
Omri Brill: So that’s a fair question. I would answer the following: (A) if you look let’s say, the split of gross profit between direct and indirect that don’t get me on the accurate numbers. So I would say that as of today indirect is going to be around 25%, maybe even more than the growth profit.  So obviously and we would like to see it increase as the Adcore Marketing Cloud offering continued to growth. Then I think gross profit wise, 50% is something that we will feel comfortable with and that should be like a visible goal for the company moving forward. 
Barak Frank : Why is the majority of Q3 revenue solely from direct customers? Does this have anything to do with the recent Adcore tracking options with Apple and Google and advertising, supplying more assistance with new strategy? 
Omri Brill: No, absolutely not. That’s got nothing to do with the things got with the recent changes that Apple did with the IRS booking. Obviously Google pulled back the change of the role. Planning to do and now talking about 2023, but their company is lucky enough to operate in segments that there was less I would say impacted by the recent changes with let’s say Apple dis. And I would say that despite what we see in the reply, their revenue is solely because this fact that we’re seeing general ecommerce activity during and post-COVID. So there is more demand, more activity and this segment is just growing faster for us. 
Barak Frank : And now for a question for Yatir from Mark Rann [ph], we know the large decrease in gross margin is mostly attributable to the company shifting its focus towards direct clients in order to scale up revenue as quickly as possible. Based on your growth plans going forward, what level of quarterly revenue you need to achieve in order to reach an inflection point where growth margin begins heading back in the right direction being up. 
Yatir Sadot: Thank you, Mark. The company strategy is to increase the level of indirect sales supported by the launch of Adcore Marketing Cloud. As Omri mentioned before, the focus of the target of the gross margin is around 50%, and we believe the gross margin improvement will take place gradually due in 2022.  Now, take into consideration that we then see more and more material impacts on revenues, the gross margin should improve as well and the level of gross margin will increase. 
Omri Brill: I would like to add that obviously everything that Yatir just said is true, but it starts at zero some gain. So you can say, we don’t look to decrease the level of direct client activity rather than increase the level of indirect client activity with better growth margin and also RP [ph], it should come with better gross margin as well. So instead of let’s say decrease one portion, we rather increase the other portion of the activity. 
Barak Frank : Thank you very much. Another question from Mark. I was surprised to see Amphy revenue of just CAD$3,000 for the quarter, less than the CAD$4,000 generated in Q2 before Amphy was even publically launched in July. It was stated in the FDR earlier that Amphy’s growth to-date exceeded our most optimistic expectations. While the growth in classes offered has been impressed, the revenue for just growth and actually students using the platform has been lackluster.  Are you able to provide an update on Amphy’s performance so far in Q4 or projections as to what kind of revenue levels we can expect to achieve from Adcore segment in the coming quarter; two questions there. 
Omri Brill: Okay, let me try and answer them one by one. With regards to the, let’s say to the financial results, bear in mind that what we published in Q2, 2021 was basically six months, a bit ever more than six months aggregated number, because Q2 was the first quarter that we disclosed Amphy activity as a separate segment. So basically it’s not fair to compare Q3 to Q2, because basically you are comparing one quarter to more than two quarter aggregated activity.  Also bear in mind that as a platform we only disclosed let’s say the net platform segment we’ve taken, but total management of booked class money wide, value wide, let’s say in Q2, Q3 was more than 20,000. Obviously they are still early numbers and those numbers we expect it to grow much bigger and still insignificant toward to the company, what they are doing with the B2B activity. But this time we believe that we are building the right infrastructure that will allow it to scale much larger.  But I think like again, Amphy, and this is important for me to emphasis, it still in the zero to one stage. So we are still focusing, we are building the platform, optimizing the business model, making sure that we are the best value offering possible and then once we feel that we have everything we need, we are going to reach to the one to many phase. That means the scaling up and basically focus on bringing more students on the platform.  With regards to Q4, we see this type of activity that they have started in Q4, but it’s still too early to estimate. Bear in mind, Q4 is going to be an interesting quarter, because we have a lot of holiday sale promotions that you would like to run during this quarter. So I believe Q2 – Q4 should be far stronger than Q3, but again it’s a bit too early, because most of the holiday, massive holiday sales didn’t even started, which is Black Friday, Christmas, as soon as the sales in store and so on. 
Barak Frank: Thank you, Omri. Moving on to few more questions then, and then we’ll try to get to some questions from the Q&A. When can we expect substantial revenue from U.S.?
Omri Brill: So as I mentioned before in my presentation, we are now building up the necessary, the structure and the foundation for a much more robust activity in the U.S. The company believes that 2022 should be the year that basically we are going to see more revenue coming from this region. If you need to take let’s say the Chinese activity as an example or as a benchmark, originally we have significant revenue coming from the let’s say China growth area region, up to let’s say two years and it will happen much quicker. Even in the first year we saw significant revenue coming from this region. So I would say from our previous let’s say operation, I would say it should take between one to two in order to have substantial revenue coming from a specific new region. 
Barak Frank: Thanks Omri. Any progress with M&A strategy? 
Omri Brill: So, we are putting more and more, I would say focus and emphasis on M&A. We are I would say more – a better understand of the target company that we are looking out to acquire and working on creating a potential deal flow as well. So once we are going to have something that obviously is ready and we can go ahead and announce it, then I can assure the investors that they are going to be the first one to know about it. But the company is putting more and more focus on this avenue. 
Barak Frank: Great! Do you plan to become a filing U.S. company, and list in the U.S.?
Omri Brill: The short answer is, yes, but I would say the long answer is, we are not going to want to jump the gun and do it before we believe the company is ready. So once the company is going to be big enough in terms of revenue, one of the company is going to ready and no interest of let’s say client base and the operation base and everything, then we believe that’s the right time to do it. Then we are going to add and we’ll do it.  Having said that, the company is already taking step in order to achieve this growth. So bear in mind that during ‘21 we uplift of the TSX venture capital to the TSX which is a primarily exchange obviously. So that’s going to give us a much more easy entering to the last – to the New York Exchange if needed. We did OTC listing as well. Again, give us more exposure to U.S. investors and open now to the U.S. subsidiary.  So basically this is the company roadmap. This is where the company is aiming for, the company is actively doing step and measures in order to fulfill this vision, but we are not going to do it before we believe we are fully ready to do it. 
Barak Frank : What are Amphy’s potential margins like? 
Omri Brill: So, it’s a bit too early to tell. But I can look at let’s say similar markets place, market places that we all like and know, like five year for example or AirBnB. Then typically for these type of market place and our issues won’t be any different. The merging of between 75% to even 80% if we are talking about five years. So this is where we should expect to land as well eventually, but again, a bit too early. 
Barak Frank : Moving on to a few questions from the Q&A. A question from [Inaudible]. Do all seven global offices generate synergy? How? For example Cross Boarder E-Com. 
Omri Brill: So that’s an actually very good question and this, it’s worth talking about, because one of the, let’s say the company expanding strategy is expanding globally and one can say, why Adcore is a relatively still young and small company; they need to expand to that geographically.  So we already have six different offices worldwide, operating in four different continents and I would say the following: The nature of the activity of our client is very global in the sense. So every large e-commerce client that we serve, usually we will operate in seven countries; for sure the U.S., U.K., Australia, maybe other counters in Asia and Europe as well.  And I think in order to give them, the kind of let’s say support they needed and service they needed, some of them would be 24/7 support, some of them would be routine support, some of them would need, we need let’s say support, let’s say in a different time of day, in different markets and stuff like this.  Then again the fact that early in the morning our let’s say Australia office and this is based on the true story right, can start operating and be available and basically open compares and actively compare and do some support for the clients. And then they say, there is still a rework which can step in and do activity, and then later in the night the Canadian office can step in and they will give you like 24/7 coverage as we need and I’ve not even started to talk about different language and support and stuff like that.  So again, the fact that Adcore is spread so good geographically would give the company with an excellent adventure on the comparable companies that we are fighting against the company on the customer retention I would say. 
Barak Frank : Question from an anonymous attendee. Hi Omri, please about the higher cost of goods sold in this Q3, as well as margin compression we are seeing. Cost of goods solid increased, good sold increased significantly in the quarter?
Omri Brill: Yes, so that’s not I would say unique to Q3. That’s probably a trend that’ll be sources out in Q4, 2020. But again, some of the direct client activity is also focused as with cost of goods sold. In case of let’s say Adcore active feasible display. So obviously this cost is higher cost of goods solid and lower margin.  Having said that, for the long run it is better than the company stated more than one time. We are aiming to go back to the ranges of around 50% growth margin and we believe that the Adcore Marketing Cloud can place the company in the right track to achieve this. Again, most of the expenses will be direct client revenue stream, but rather ones expending the indirect client revenue stream. 
Barak Frank : And another question from the Q&A from Lindsey Leigh [ph]. Is there any potential to improve gross margins on your direct-to-client revenue? 
Omri Brill: Yes, so that’s also a good question. I would say the following: Once we believe a direct client is let’s say ready and needless – and once they get stuff like that, then it should be more let’s say – do you know, like make to by itself. Then we can switch it to the Do-It-Yourself let’s say type of offering and obviously that’s going to come with better gross margin as well.  That’s happened before also with large clients and they are starting to declare, the company is looking to do. Also this as an activity, the company is doing in order to improve the let’s say gross margin of direct client, such as let’s say strategic agreements that we have discusses and that we’ll work and so on.  So I would say as switching some of the direct client activity to Do-It-Yourself model or basically increasing the value that we can instruct for these types clients and obviously improve the growth margin as well. So the answer is yes, these – lots we can do these clients as well. 
Barak Frank : Okay, we’ll take one more question from the Q&A I think, one or two. In reference to Amphy, how do you proceed and manage the potential risk that students bypass the class. For example by finding and contacting the teacher directly on social media. 
Omri Brill: So that’s the first question in the beginning before we open Amphy. This was I would say one of the concerns that we had regarding the business model. Lucky enough to-date what we found out that this type of behavior or activity did not happen almost at all. And basically we are in now let’s say opportunity to know if such a thing happen, you know like we can have a discuss, disguise sorry – a client and other measures that we can put in place in order to monitor this type of behavior.  At the end of the day if the teacher is trying to avoid the Amphy activity, there is no longer going to be a teacher on Amphy, then we are going to have more. There is the most value Amphy can bring to the teacher. The teacher is going to move [inaudible] then wise versa. So and this is true currently. We have a waiting list for teacher in the last let’s say different categories. So this means that we have more teachers that we currently even need on the platform. 
Barak Frank : I think the last question we’ll take from Pier [ph]. Omri, what is your take on the recent decline in the company’s share price and current valuation? 
Omri Brill: Obviously I don’t like it and the company, well I was just a shareholder as well. So obviously nobody – if you invest in something, nobody likes to see its investment price decrease.  Having said that, there’s part of the you know, the life of being a public company and basically investing in the stock market. So I think if for one end as a shareholder I don’t like to see the stock price where it stands today. And for sure I don’t really understand the current valuation, which basically gives the company multiple one of earnings if your stock is in TCM.  But I mean on the other hand I’m also lucky enough to be not only the largest shareholder, but also the company CEO. So I would – I am putting 120% of my time you know working on the company innovation, operation, building the team, expanding the team, expanding the technology and I can assure you that as the company’s CEO is the one that is on the field and see what’s going on and what we are able to achieve every single quarter and now that the company is growing, then I am super optimistic.  So in a sense you know, I’m thinking like for the long run we just continue what we are doing, report another great quarter after great quarter and I think like so far it’s been followed. This is my philosophy, and this is what I believe in. 
[End of Q&A]:
Barak Frank : Thank you, Omri. On that note we’ll conclude this call. I would like to thank you all for joining us and we encourage everyone to send any further questions you may have. And have a great day! Thank you. 
Omri Brill: Thanks everyone. Thanks Barak and Yatir.